Operator: Good morning, and welcome to the First Quarter 2018 Earnings Conference Call for Bimini Capital Management. This call is recorded today, May 8, 2018. At this time, the company would like to remind the listeners that statements made during today's conference call relating to the matters are not historical facts are forward-looking statements subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Listeners are cautioned that such forward-looking statements are based on information currently available on the management's good faith, belief with respect to future events and are subject to risks and uncertainties that could cause actual performance or results to differ materially from those expressed in such forward-looking statements. Important factors that could cause such differences are described in the company's filings with the Securities and Exchange Commission included in the company's most recent annual report on Form 10-K. The company assumes no obligation to update such forward-looking statements to reflect actual results, changes in assumptions or changes in other factors affecting forward-looking statements. Now I would like to turn the conference over to the company's Chairman and Chief Executive Officer, Mr. Robert Cauley. Sir, please go head.
Robert Cauley: Thank you, operator. The significant growth we recently experienced in revenues at both our advisory services segment and the RMBS portfolio slowed during the first quarter of 2018. During the first quarter of each year, revenue growth in the advisory services segment is usually subdued as Orchid Island Capital is precluded from raising capital while it goes through the year-end financial reporting process that typically takes up most of the quarter. With the Federal Reserve in the midst of an interest rate tightening cycle, REIT stocks are generally trading at substantial discounts to book value thus precluding capital raising. As a result, advisory services revenue only grew 3% over the fourth quarter of 2017, simply reflecting the fact that the capital base at Orchid was lower entering the fourth quarter. Nonetheless, we generated approximately $2.1 million of advisory services revenue, our largest quarter ever. Also, Bimini Advisors, our registered investment advisor, continue to generate taxable income available to consume our tax net operating losses and generated cash flows that can be redeployed into the MBS portfolio at Royal Palm Capital. At this point, I'd like to review macroeconomic developments during the quarter before going into the performance of the MBS investment portfolio segment at Royal Palm. As 2018 got underway, the market environment changed. Starting in January, the specter of inflation finally appeared, and the REITs market reacted forcefully, evidence of pricing pressures in the economic data coupled with legislation out of Washington that led materially to the budget deficit over the next few years caught the market by surprise and interest rates rose quickly over the first six weeks of the quarter. The 10-year U.S. Treasury came within a few basis points at 3% for the first time since early 2014. The Treasury curve steepened and market participants reconsidered their expectations for future rate hikes by the Federal Reserve. For their part, the Fed officials were very consistent in support for continued gradual rate hikes. While last Labor Day, the 10-year Treasury was close to 2% and the market was only expecting one more rate hike by the end of 2018, the outlook was much different by February of 2018. As reflected in Fed fund futures, the market expects two more rate hikes in 2018 in addition to the hike in March. Funding pressures in the short-term funding markets emerged and LIBOR, the primary floating rate index, moved from less than 1.7% in the case of three-month LIBOR at the end of 2017 to approximately 2.31% by March 31, 2018. The selloff in the rates market reversed in late February, early March as the Trump administration announced potential tariffs on imported steel and aluminum. This was followed in short order by counter threats from essentially all U.S. trading partners and in turn more threats from the administration. The latter were met with even more counter threats. The prospect of a meaningful trade war spooked the markets and equity sold off as interest rates rallied. These fears diminished in April and into early May and the markets have stabilized. With these fears reduced and the potentially significant flare up in Syria, that in the end was short-lived, the markets have once again focused on economic data. The data remains generally very strong and public pronouncement by Fed officials supports market expectations of at least two more rate hikes in 2018. Equity markets have recovered and the first quarter earnings announcements have been quite strong. Fear has receded from the market. Volatility both in the equity markets and rates markets spiked mid-quarter, but has since come back down in a substantial way in the case of the rates market. The mortgage market suffered throughout the quarter and most agency mortgages performed far worse than comparable duration treasuries. While the fourth quarter of 2017 was a great quarter for agency MBS, as other risk assets appeared quite rich on a relative basis and mortgages benefited, this trend reversed in the first quarter of 2018. Going forward, prepayment fears are very benign and the resulting drop-off in the supply of new mortgages should help offset reduced purchases by the Federal Reserve. However, as the old curve continues to flatten, driven by progressively higher funding rates for leverage mortgage investors, returns in the mortgage market are likely to remain weak. The performance of the Royal Palm portfolio was consistent with what we observed in the agency mortgage market generally. Our higher coupon fixed-rate pass-throughs underperformed our hedges and led to a 15.8% negative return for the quarter. The structured portfolio generated a 7.4% positive return, but coupled with the fact that the capital allocation was approximately 86% to 14% in favor of pass-throughs, the combined portfolio generated a negative 12.6% return. Because of margin call activity resulting from these developments and the need to maintain adequate cash balances, we limited our new acquisitions of MBS to that needed to replace pay downs received on our pass-through securities and returns of investment on the structured portfolio. As a result of net mart – negative mark-to-market adjustments, the portfolio declined in market value from approximately $210 million as of December 31, 2017, to approximately $205 million at March 31, 2018. The market has stabilized so far in the second quarter and we hope to resume growing the portfolio soon as the company is otherwise cash flow positive. With the rates higher during the first quarter of 2018 versus the fourth quarter of 2017, the average yield on the MBS portfolio was 4.01% for the current quarter versus 3.88% last quarter. Interest income rose 5% sequentially quarter-over-quarter and reflecting our hedging cost, interest expense rose as well from 1.77% during the fourth quarter of 2017 to 1.96% in the first quarter of 2018. This resulted in a contraction in interest spread to 205 basis points for the quarter versus 211 basis points in the fourth quarter of 2017. Developments in the market were felt by Orchid Island as well as Orchid reduced its dividend from $0.14 per month to $0.09 per month and we had approximately 26% reduction in dividend income for the current quarter. To summarize, the first quarter of 2018 was a challenging quarter for fixed income investors and MBS portfolio managers like Bimini. We do not anticipate these market conditions to persist indefinitely, and eventually the Fed's tightening cycle will end, leading to a more attractive investment environment. This does not mean we will always stand pat and simply wait for it to end. We are cash flow positive and will continue to grow our MBS portfolio and thus our taxable income, enabling us to continue to utilize our taxable net operating losses. More importantly, we are not content with performance of price of Bimini stock, which has languished between $2 and $3 for the last six quarters even though our advisory services revenue and MBS portfolio have grown substantially. While we acknowledge that the flow for Bimini stock is small, and daily trading volumes are modest, we expect the stock price to be more reflective of the fundamental value of Bimini even on a book value or market multiple basis. As of March 31, 2018, Bimini's book value was $4.13 per share. In late March, we announced a share repurchase program with the goal of providing a bid to the stock on a regular basis. We chose the share repurchase option over the tender offer because we feared a tender would result in a onetime increase in the price of the stock, but be followed by a prolonged period of inactivity and possible decline in stock price to pre-tender levels. We also feared a tender would further depress daily trading volume after the tender ended and thus inhibited investors' ability to move in or out of the stock. The share repurchase program, while subject to certain regulatory constraints, will allow us to provide a bid to the stock indefinitely and hopefully maximize in trading volume going forward. We recognize the process of harvesting our taxable net operating losses will take several years and there may be periods of light trading volumes in the stock and that the stock price might languish below intrinsic value. We feel the share buyback option is the best strategy for supporting the stocks, stock price and enhancing trading volumes. Thank you, and we will now open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Jack Moreno [ph] from Colorado Wealth Management. Sir, your line is open. Please go ahead.
Unidentified Analyst: Hi, Robert, Annaly began a policy of requiring executives to buy shares of NLY in the open market. The price to book ratio seemed to perform quite favorably since then. I wonder if Bimini has considered a similar policy for open market purchases of Orchid Island Capital?
Robert Cauley: We do not have a mandatory policy, although we now have bought them. I'm personally am currently close to 10%. We take material portions of our bonus in stock, even if it's paid in cash. What we typically do then is just buy an under registered sale of securities, which we have done for the last few years. So that's – we certainly have a very strong vested interest in the stock. Both Hunter and I are very large shareholders among the largest, and we do accumulate shares over time. The stock is simply not as liquid as Annaly or any of the larger public REITs, so it's not as easy to trade, and then also with the share buyback plan in place, it kind of had some issues there where we're kind of competing with the company for shares, but certainly acknowledge the value of those types of plans. I just think our particular circumstances prevent us from doing it in the exact same fashion as Annaly. Although I think conceptually, we're doing the same thing.
Unidentified Analyst: Okay. That's great. Your portfolio for MBS has been expanding quite substantially over the last few years. Has Bimini considered buying ORC in place of agency MBS, say when ORC trades at discounts greater than 10%?
Robert Cauley: Yes, we have considered and in fact done so. We own a substantial portion of – a substantial allocation to Orchid stock, we did that on two or three occasions, as we've said. When Orchid was trading at a substantial discount, it just represented a better return than the agency portfolio and so we took advantage of that and bought shares. The last time, I think, was about one year ago.
Unidentified Analyst: All right. And then one last one. How should we be looking at the duration exposure on Bimini's portfolio currently as opposed to at the end of Q1?
Robert Cauley: Certainly extended in Q1 with the sell-off and the underperformance of mortgages. We will and have taken steps to address that, both in the type of hedges or allocation between structured and pass-throughs and then of course just within the types of assets we would own. We're probably halfway through the process, trying to get that undone by the end of the quarter, but it was a rough quarter for all mortgage investors. In fact, I think the – what used to be known as the Lehman Mortgage Index, then the Barclays and now Bloomberg had the worst quarter in 20 years in the first quarter. With respect to how the profile looks right now, if I look at our – we'd like to hone in our up and down 50 basis point instantaneous rate shocks just as a – to give you a sense of how we would perform on a modeled basis. Our empirical duration tends to be a little bit lower than the model duration. So it looks like for us in an up 50 shock, we bleed off $1.7 million call it, and in a down 50 shock, we would gain roughly $1.7 million. That is more or less similar to where it was on 3/31, although mortgages in general in the beginning of the second quarter have performed a lot better. It wasn't so much of a duration problem in the first quarter. Although, we're certainly net a little bit long. It just the way we tend to have to manage the portfolio, just for a number of reasons, cash flow concerns and among other things, the types of interest rate hedges we have the ability to put in place at the Royal Palm level. But the second quarter has been much better, it was really more of a widening phenomenon in the first quarter where mortgages were underperforming, same duration type hedges and so much of the underperformance across the sector really was attributed to the fact that mortgages just were not keeping pace with the hedge products.
Unidentified Analyst: All right, great. Thanks for the color, guys.
Robert Cauley: Thank you.
Operator: Thank you. And our next question comes from Lazar Nikolic from JPL Advisors. Your line is open. Please go ahead.
Lazar Nikolic: Hello?
Robert Cauley: Good morning.
Lazar Nikolic: Hi, thanks for taking my call. I'm a shareholder in Bimini and as you can see, the stock trading where it is or not trading at all, but the market price being very low. It's quite frustrating, given the book value, and given the steady revenue from being an external manager to ORC stock, I am perplexed as to why there isn't some more talk about some strategic alternatives, I mean, I would love to own his company outright, at $3 a share and not have it to be public, I just own it outright and do whatever I want. I collect these revenues. Are you guys thinking about taking this thing private? And if not, would you allow somebody else to do so?
Robert Cauley: We are not considering taking it private, although insiders do own a very substantial position, and we're not interested in selling out to somebody at $3 a share. At least, I personally am not. While I understand the rationale for what you're saying, and I think it holds merit, keep in mind that the strategy is predicated on the idea that we're going to take advisory services revenues and revenues from the portfolio itself because we don't have to pay taxes, and redeploying those cash flows into the portfolio to grow it, but we want a levered strategy that requires access to funding, being a public company is a big component of our ability to do so. We have a number of lenders. We run pretty high leverage. A lot of Wall Street firms that lend us money and the fact that we're public, even though it's costly and there's what appears to be very explicit cost with no offsetting benefit, there is in fact a benefit, that is you continue to have access to funding. Not only that, but you also have to hedge, so you have to enter into interest rates swaps or swaptions in euro dollars, and doing so as a very small privately held company would pose substantial hurdles. In fact, you might be having to put up your own personal assets, if you could get somebody to do that, as collateral. So we recognize it doesn't maybe look so good on the surface because it is public and entails those costs, but there are benefits and they're pretty critical especially if you're running a levered fixed income portfolio that requires substantial access to funding markets and hedge instruments. Let me just add that we believe it also lends credibility to our most important client, which is Orchid Island Capital as the external asset manager. The deal they signed up for, so to speak, was that we're a publicly-traded company and we were audited by a nationally known firm. And so while Orchid has its own audit, they – the expectation was that the asset manager was also going to have to undergo audit scrutiny as well.
Lazar Nikolic: But it – there was expectation that the Bimini stays public? That was in the documents, is that a requirement?
Robert Cauley: Yes, in fact when we did – it's not a requirement, but it was anticipated. In fact, when we did the IPO of Orchid Island, one of the most significant risks in the eyes of the underwriters, and frankly investors in Orchid, was the viability and sustainability of the manager. So being public is very important component of maintaining that – not just perception, but maintaining that status. In fact, I would even take it one step further. If you look across the other REIT space, the balance of the REIT space, the size and viability of the manager is critical for externally-managed REITs. There are a few REITs that are managed by an LLC, but they are closely aligned with the company itself. They are not more of a stand-alone asset manager as Bimini is.
Lazar Nikolic: Right. I mean, from my point of view, you're saying oh, in the – levered strategy of MBS – I mean, at the current valuations, you don't need any of that because the market prices are valuing all that at zero and then some. And for the shareholders, it's a frustrating situation because insiders, the salaries are going up steadily and the stock is doing nothing, there is no volume in trading, it just seems like this thing is ripe for some kind of strategic alternative because the current status is not good for any non-insider shareholders.
Robert Cauley: Well, I would beg to differ. We recognize that fact and it's been frustrating, the fact that the stock has languished, but we're in touch with, on a relatively frequent basis, five to 10 investors outside of the large insider holdings, of investors that are quite knowledgeable with the stock, who have done a lot of homework and realize what's at stake and how the value will be realized, and they realize it's a long-term play. At the end of the day, the value of this company will be gleaned by realizing the NOLs, which expire in mid-to-late next decade. Even with the advisory services revenue of $2.1 million, we have to generate $250 million of taxable net income to consume all those NOLs. So this strategy is not going to play out in months, it's years, lots of years. And so lot of shareholders that understand that recognize that fact. Some are new to the story, they want to see more instant gratification, but the book value is $4.13 and the stock trades at $2.30. So that's a meaningful discount to book, but if this strategy comes to fruition, the book value isn't going to be $4 a share or $5 a share, it's going to be substantially higher than that, multiples of that. And so it's kind of viewed as a private equity investment. So I think if you're looking for a more short-term return, you may get some, but this is something that's going to take quite a while to play out. If you took the size of Orchid and tripled it to $1 billion to $1.5 billion of equity, the management fees that, that would generate would still require many years to use all of the NOLs. So there is upside, but it's a long track. It's a long runway and we have considered and I think you would suggest that we consider tenders. And I think that would be – conceptually it's a great idea and if you did have a tender, you would get whatever participation, you get a nice pop in the stock, but you're still years away from realizing this and so doing successive tender offers, I think you would have a rapidly diminishing return on the impact of those because as I said, there are – you did the first one or two, maybe it's a liquidity event, people get out and make a nice profit. I suspect that those tenders would still be done while at a premium to the current market price it would still be done at discount to book. And that book, as I said, I think, has much, much upside over the long term. So as a result, I suspect that successive tenders would have progressively less participation, and maybe as we get closer to realizing these NOLs and forget about the stock price for the second, but to say as the book value got progressively higher, then it might make sense to try to drive the stock price up to the book value. So maybe we consider a capital raise to accelerate the growth and be able to harvest the NOLs first, but we are certainly not interested in any kind of a capital raise at $3 or $4 a share.
Lazar Nikolic: How about the corporate overhead? The expenses, the salaries, the comp, I mean, one of the risks here is this is a value trap, the revenues will go up, but this thing grows, the salaries keep going up and there's nothing left for the shareholders. Are you willing to commit to some kind of a level where the G&A overhead will be capped or you're happy to keep increasing it as revenue goes up?
Robert Cauley: Well, I mean it's – they typically grow, because the assets, the complexity, the portfolios grow and the staff needed to do those. And we outsource a lot of what we do, in fact we probably outsource far more than most asset managers. We outsource our accounting work, we outsource our accounting work – our tax work. We outsource our legal work, we outsource our back office. We outsource the trading of our repo, but you still have certain staff and as you grow the size and complexity, the two portfolios, and we hope to grow them substantially more, it requires staff. I don't think our overhead other than salaries and staff are out of line. We have tons of audit work and legal work, it's pretty, pretty tight. And if the portfolio – I mean granted, there's operating leverage, but if the portfolio becomes 3x or 4x bigger, we're going to have a need for more staff and it's just, I don't think our – the cost structure of a typical asset manager, I don't think we're that out of line at all. Our net revenues increased from first quarter 2017 to first quarter 2018 by 15% and on a dollar basis, our net revenues certainly outpaced the uptick in any G&A. So I appreciate what you are saying, but we're seeing the growth in the company in spite of the fact that it's even tapered off of late. So and I can also point to the proxy because this is one of the issues that ISS and some of the other shareholder services, it's kind of a hot topic with them. Our compensation is not directly tied to the management fee that we received from Orchid Island. That's often the case and they have not required, but suggest that we show the comp levels as a percentage of the management fee and that's in the proxy. I don't have that in front of me so I can't quote the number, but I think if you look at that number and you look at that trend, I don't think it's alarming or out of line with what you would see across other asset managers.
Lazar Nikolic: Okay, thanks for taking my questions.
Robert Cauley: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Gary Ribe from MACRO Consulting. Your line is open. Please go ahead.
Gary Ribe: Hi, Bob, how are you?
Robert Cauley: Good morning.
Gary Ribe: Good, I appreciate you taking calls and questions and stuff, I guess – I don't know about taking the company private because your NOL is your most significant asset, and you can't have an ownership change. So like, I don't understand that whole line of questioning, and I'm not going to focus on that, but I would like to focus on kind of the share repurchase. Your financials are a little messy in the sense that you've got mark-to-markets on Orchid and the portfolio, and you've got this tax loss, and I think you guys are provisioning for the taxes and income statement, which makes it even harder for people to really understand what you're earning and I've got it close to $0.50 a share on a run rate, which puts you guys at maybe 4x your core earnings. I guess my question is, you get this buyback in place and you did 12,000 shares in the first couple of weeks, woo-hoo. What can you do to really accelerate that? Can go find blocks? Because I feel like if you are going to maximize the per-share value of the company, with the price down here and it makes sense to try to be as aggressive with that as you realistically can be. Am I misunderstanding or is – I'm just kind of wondering what you guys are thinking about that.
Robert Cauley: No, I don't – you're not misunderstanding. A couple of things – just to address one simple thing. The provisioning for the income tax that's basically just showing the consumption of the NOLs to the extent you have income. That's just the way the GAAP works. So even though there is a provision for income tax there's no cash payment, so basically it's just telling how much you have used of it. And really, it gets back to the last caller. The problem is this there is just very little trading volume. It would be great if the things – if the stock traded 50,000 to 100,000 shares regularly every day, but it doesn't. And I think part of the problem is that it's a small float, it's a float that can't be materially increased because as you mentioned with the NOLs we can't have a change of control. So we can't just start issuing lots of stock, so it's hard to address that – the float issue. The trading, I think, reflects the fact that even though there are Form five filers, all the insiders, what they hold, listed on Bloomberg. What we know of there is probably five to 10 people out there or entities that own probably right below that 5% level. I don't know what they own, because they don't file, but they've owned the stock for a long time. I get calls every six months or so, and they recognize the value, and they're probably not interested in selling at $2.50 a share. It's a private equity like plate. This has a lot of upside, I don't know if it will realized, but I don't know if it is realized, it will be over fairly long period of time. So how do you get traction in the stock in the interim? We'd opted for a share buyback, and if you're familiar with the regs, you know that we can't be – trade at the open, we can't trade more than percent 20% of the average trading volume and then volume is not much. So yes, it's hard. We can't buy above the last price, but at least it does give us the ability to always be in the market and have a bid. We considered a tender, I think a tender is a onetime great thing. Then you get some activity, you get the price of the stock up, probably not to book value, and then it kind of just languishes after the fact, and then you start to condition investor behavior and they just want to wait around to the next tender, and I think you see even less trading activity. And like I said, the book value at $4.13, that's great, it's certainly up a lot over the last few years, but just look at our financials and say okay, if the NOLs are completely consumed and the valuation allowance regarding the deferred tax asset goes to 0, what's the book value? Who is to say if that ever happens, but it's a bigger number than $4.
Gary Ribe: The problem – I don't overtly agree with what you're saying, I guess, what I'm wondering is, could you do, I don't remember what the buyback authorization is, is it a 0.5 million shares? Something like that?
Robert Cauley: Yes.
Gary Ribe: I mean could you do a tender for $2.50 and then be in the market for the other $2.50? Because the way I look at is like, you're not going to be able to generate enough activity to make a meaningful dent in the 500 anyway so what, I mean, why not do both. If someone is willing to sell to you at $2.50, the volume, they can go back out and bid it at $2.30 or whatever it is. When I model out your company, I was, when I looked at your balance sheet, I was surprised that you have – you didn't have a valuation allowance against the NOL and I was like well...
Robert Cauley: Well, we do.
Gary Ribe: I know the accounting rules are pretty stringent upon how you can take that off. So I was like, well let me model out and see how we get there, and I shocked myself by getting there, and if you do any meaningful issuance at Orchid, you get through the whole darn thing. So to maximize the per share value of the company, just, to me it seems like it makes sense to be aggressive on the front end.
Robert Cauley: Well, I mean it's, I'm not sure I follow that. I mean, we do have a valuation allowance against deferred tax asset, absolutely we do. And the whole idea is to organically grow portfolio through the retention of earnings. So how much capital would you use now that could be deployed in the portfolio to buy back stock that's at $2.20 a share? The short-term gain slows down the long-term goal of utilizing the NOL. And time is of the essence because these NOLs start to go away in the case of Royal Palm, which is where the preponderance of the NOLs lie, it's 2028 or 2029. You don't have an indefinite amount of time, we were grandfathered under the Tax Cuts and Jobs Act where we still get to keep all of our NOLs and use them, but – with the time they still do go away. So time is of the essence. If Orchid grows, the revenues grow faster, but Orchid may not always be growing. We are in the midst of a Fed tightening cycle. We could go a year or two without meaningful growth. So getting that cash flow in there and growing the portfolio as fast as you can seems to us like the best way to get to where we want to go. To me, it's much more important to get to use all or most of the NOLs in getting the stock price up $0.30 in the next three months. Like to me, that's short-term myopic focus versus achieving a longer-term goal, which has much greater upside.
Gary Ribe: But the longer-term goal should be to maximize the per-share value of the company, and that is...
Robert Cauley: And that is done by harvesting the NOLs. There's a question of timing, so the more you buy back, get the stock up and now, the more capital you deploy to get the price up in the short term, the less you realize in the long term, which is far greater in our minds.
Gary Ribe: Okay. I mean, my perspective on that as your trading at like 4.5x earning. So your earnings yield on a buyback is ridiculously good. And so my point is that maximizing the value of the NOL and the per-share value of the company, sometimes those may not be the same thing.
Robert Cauley: Okay. I don't know. Okay. I don't know if I agree with that, but we can agree to disagree, but...
Gary Ribe: I mean, it's an earnings yield that you are buying, and it's the per share value on the back end. So my point is like there's give-and-take with that. I understand the NOL part. I would say that if you are trading for a very cheap price, it's not a quick hit that people are looking for, it's – maybe some people are, but it's maximizing the per-share value of the company on the back end.
Robert Cauley: Okay.
Gary Ribe: Because you own more of the NOL, if you shrank the float to 9 million shares over the next 10 years, you model that out, you're probably earning $3 a share, which is 150% of the current trading price.
Robert Cauley: Okay.
Gary Ribe: All right, I will leave you guys alone. Thanks.
Robert Cauley: All right, thank you.
Operator: Thank you. Our next question comes from Jack Moreno [ph] from Colorado Wealth Management.
Unidentified Analyst: Hi, guys. I'm sorry to follow-up on the concept of the NOLs. Is there any viable way or a meaning to acquire another external manager? I know there's limitations regarding the transfer of ownership of the stock. Is there anything through warrants, convertible bonds or convertible deferred shares that would allow Bimini to effectively acquire another entity that is also profitable in asset management, so that they could run those profits through and capture more of the NOLs.
Robert Cauley: That's a good idea and certainly something that we've thought of. Our wherewithal to acquire another asset manager is somewhat limited, even with the warrants or some form of stock. I think you would have to give up an inordinately large piece of the company through that exercise of the warrant to get that done. But hopefully through growth, that's something that is on the horizon. I just don't know if now is the time to do it, just given the cost relative to the size of the company.
George Haas: I think that over the last two years, we've really just gotten to the point where we are on the precipice of being able to do something like that without it costing an exorbitant amount of money, giving up all the upside of our shareholders to someone that's going to come in and contribute revenue streams and really effectively wants to run the show or whatever. Certainly, the more we grow, the cheaper that capital ultimately will become and it's definitely something we've talked about in the past.
Unidentified Analyst: Okay. That's great insight. And then one more question. From the Orchid presentation, is it true that Orchid oftentimes is able to get a stronger premium relative to book value than many of the other mortgage REITs in this space. When Orchid doesn't trade at a material premium relative to peers, have you guys considered having Orchid acquire some of the smaller and less efficient peers?
Robert Cauley: We've just got to the position where there's any that are smaller. There's a lot of bigger ones. That could be the case, like the last two years, Orchid has pretty much doubled in size. It's beginning of that period, there was really nobody smaller than us. And we did go grow rapidly during that two-year period. There's a couple that are to the extent that we are in that position again, that is certainly something on the table and unfortunately, the other thing that's on the table, someone could try to acquire Orchid. You just saw in the last two weeks that Two Harbors acquired Cypress and Annaly acquired MTGE. The entities such as that or us, they just view that as a capital raise, so it's a – in a period like this, where capital raising is a challenge, those are the types of activities you typically see. We chose to just issue capital the way we did and grow as opposed to acquire another entity. I think the cost of the capital is actually less through an ATM than an acquisition using the most recent two transactions as examples, the cost of that capital was close to 110% or $0.90 on a $1. It was very expensive capital. The ATM was 1.5% or 2%. It's very cheap capital.
Unidentified Analyst: Okay, that makes sense. Thanks guys.
Operator: I'm showing no further questions at this time, gentleman.
Robert Cauley: Thank you, operator. Thank you for your – everybody's consideration and interest in Bimini. We appreciate that. We've had certainly many calls where we don't have any calls – or questions. We like to have an opportunity to discuss these things with our shareholders. To the extent someone missed the call live and wants to listen to the replay and then has a question, feel free to call us in the office. The number is 772-231-1400. Otherwise, we look forward to talking to you next time. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's event. This concludes the program. You may all disconnect. Have a wonderful day.